Operator: Good day and thank you for standing by. Welcome to the Patria Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today Rob Lee, Head of Shareholder Relations. Rob please go ahead.
Rob Lee: Thank you. Good morning everyone and welcome to Patria's third quarter 2024 earnings call. Speaking today on the call are our Chief Executive Officer, Alex Saigh; and our Chief Financial Officer, Ana Russo; and our Chief Economist, Luis Fernando Lopes for the Q&A session. This morning, we issued a press release and earnings presentation detailing our results for the quarter, which you can find posted on the Investor Relations section of our website or on Form 6-K filed with the Securities and Exchange Commission. This call is being webcast and a replay will be available. Before we begin, I'd like to remind everyone that today's call may include forward-looking statements which are uncertain, do not guarantee future performance, and undue reliance should not be placed on them. Patria assumes no obligation and does not intend to update any such forward-looking statements. Such statements are based on current management expectations and involve risks including those discussed in the Risk Factors section of our latest Form 20-F annual report. Also note that no statements on this call constitute an offer to sell or a solicitation of an offer to purchase an interest in any Patria fund. As a foreign private issuer, Patria reports financial results using International Financial Reporting Standards or IFRS as opposed to U.S. GAAP. Additionally, we would like to remind everyone that we will refer to certain non-IFRS measures, which we believe are relevant in assessing the financial performance of the business, but which should not be considered in isolation from or as a substitute for measures prepared in accordance with IFRS. Reconciliations of these measures to the most comparable IFRS measures are included in our earnings presentation. Now, I will turn the call over to Alex. Alex?
Alex Saigh: Thank you, Rob and good morning everyone. The third quarter of 2024 was an exciting quarter for Patria as robust organic fundraising of over $2 billion in the quarter and more than $4.2 billion year-to-date through the end of the third quarter put us on track to meet or exceed our $5 billion fundraising target for 2024. Additionally, over the last 12 months, through the end of the third quarter, we raised over $5.6 billion, all organically. This highlights, how the increased diversification of our platform and the investments we are making in distribution and new product development, are translating into stronger and more diverse growth for the firm, leaving us very excited about what lies ahead. Now, let me quickly summarize our third quarter results before we move on to some of the fundraising and other highlights for the quarter. Management fees reached approximately $78 million for the quarter, up 26% year-over-year, while fee-related earnings reached almost $41 million, representing year-over-year growth of close to 13%. Fee-related earnings per share in the quarter was $0.26, up more than 65% since 2021. We delivered close to $35 million of distributable earnings in the quarter or $0.23 per share. Next, while we did not realize any performance fees in the quarter, we continue to generate attractive long-term investment returns for our clients, and we feel good about our potential to generate performance fees over the coming quarters. The net accrued performance fee balance of $455 million or $2.97 per share increased slightly sequentially due to both performance and foreign exchange movements. As a reminder, our Infrastructure Fund III with about $96 million of net accrued performance fees is already in its catch-up phase, and we have returned close to $2 billion to investors in our infrastructure funds since the start of 2023. Fee-earning AUM of almost $34 billion rose 9% sequentially and 58% year-over-year. And we believe we have a line of sight into solid organic growth into the fourth quarter and 2025. The sequential increase was driven by strong fundraising plus the additional of $2.2 billion, mainly from the final transition of Credit Suisse real estate assets, the closing of the Nexus transaction in Colombia and the positive investment performance and foreign exchange. These inflows were partially offset by our continued robust pace of returning and recycling capital back to investors through realizations and distributions, an important positive attribute of our business in an industry that has struggled to return capital back to limited partners. Also, our redemption rate on fee-earning AUM continues to moderate as most of our assets are in long-dated locked up capital structures. And as the proportion of our fee-earning AUM in permanent capital vehicles continues to increase and now accounts for more than 20% of assets, up from practically 0 at the time of the IPO. Our growing and increasingly diversified base of fee-earning AUM of almost $34 billion, coupled with solid fundraising and tight expense controls give us confidence that we remain firmly on track to deliver our fee-related earning targets of $170 million in 2024 and $200 million to $225 million in 2025. On a per share basis, this is $1.10 to $1.12 in 2024 and $1.26 to $1.41 in 2025 and reflects year-over-year growth at the midpoint of 12% and 20% for 2024 and 2025, respectively. In keeping with our updated capital management strategy announced last quarter, we declared a $0.15 per share dividend for the quarter. As a reminder, we will pay $0.15 per share of dividends through the fourth quarter of 2024. We also finished the quarter with a 12-month rolling debt to FRE ratio of approximately 1x. We look forward to updating everyone on our capital management strategy at our December 9, Investor Day in New York. Overall, our financial results and strong fundraising is evidence that our strategy to diversify and grow our business both organically and inorganically is paying off. It's been less than four years since our IPO, but in that time we have greatly expanded our regional and global investor base and distribution capabilities and have significantly diversified our investment and product platforms. Evidence of our progress against our strategic initiatives can be seen in the fact that over 4 billion of our fundraising year-to-date has come in strategies and/or product structures that we did not offer at the time of our IPO. Also one of our key initiatives since our IPO has been to become the premier gateway for local investors to invest in locally managed alternatives to take advantage of financial deepening, consolidation into the industry and to better serve the many regional institutional investors, who are limited in their ability to invest outside the region. Our early success with this initiative is reflected in the fact that about 40%of our fundraising year-to-date that has come from local investors within Latin America investing in local products that we manage compared to virtually zero at the time of our IPO. As a result of our diversification strategy, we are now better positioned than we have ever been to be the go-to provider of alternative products within Latin America for both local investors and global investors and grow our business as Limited Partners look to consolidate the number of managers they do business with. Now let's have a closer look into our investment verticals. First, our Real Estate platform is generating strong growth and greatly enhances the resiliency of our business. Even before we completed in the third quarter, our acquisitions of the Brazilian Real Estate Investment Trust business of Credit Suisse and the Nexus Real Estate business in Colombia, our Real Estate Fee Earning AUM had grown almost threefold from $1.3 billion in the second quarter of 2022 or since our initial investment in VBI to $3.9 billion at the end of the second quarter of 2024. In just over two years, the combination of acquisitions and organic growth has driven our Real Estate Fee Earning AUM to over $6 billion, approximately 90% of which is permanent cap. Patria is now the largest independent Real Estate Investment Trust manager in Brazil, a market that we believe remains right for consolidation and affords meaningful growth opportunities through new product launches, as well as secondary offerings. In addition, there is the opportunity for additional long-term growth in fee earning AUM through investment performance. Credit is another positive story that exemplifies the progress we are making on our strategic priorities. Credit fee earning AUM have reached $6.5 billion, up 43%, since the end of 2022 on the back of strong organic net inflows of over $760 million and market appreciation and foreign exchange of approximately $1.2 billion, as these strategies also earn fees on net asset value. The approximately $450 million of credit assets raised in the quarter was led by $190 million that flowed into our leading High Yield Latin America strategy. As highlighted in the earnings presentation, this strategy has outperformed its benchmarks across virtually all time periods and we see a long runway for growth in our credit business given the combination of our strong investment performance and a large addressable market in which there is very low investor penetration. We are also excited about the successful launch of several new private credit strategies, such as our Infrastructure Private Credit Fund in Brazil launched with the support of development banks such as the IFC and the BNDEs as anchor investors and our US dollar-denominated Latin America Private Credit Fund. Even though it remains early days, our GPMS solutions business with over $10.3 billion of fee earning AUM is off to a great start having raised over $1.8 billion in the second quarter and the third quarter and since we closed on the acquisition of the Abrdn Solutions Business with momentum continuing into the fourth quarter. Fundraising high points in the third quarter for GPMS include a Private Equity SMA of over $900 million and an initial closing of $100 million for our next vintage commingled fund. Including additional closings early in the fourth quarter, fundraising for our next vintage commingled fund has reached over $190 million. Our early success in these new vertical highlights our ability to bring new solutions to our clients, grow in the very attractive high growth secondaries and solutions market and reach a global investor base. With regard to our infrastructure strategies, we have returned to investors close to $2 billion of capital from our funds since the start of 2023 and Infrastructure Fund III which is in it's catch-up phase is expected to generate performance fees over the coming quarters, depending on the pace of realizations. In addition, within Infrastructure, we see significant deployment opportunities across Latin America and global interest in infrastructure within the region is possibly best exemplified by the MoU we signed with the Saudi's Ministry of Infrastructure last quarter to be one of their infrastructure investment partner in Latin America. Within Private Equity, realization activity remains constrained, as it does across the industry, but we are very pleased with the underlying performance of our portfolio companies which in the aggregate grew EBITDA 20% over the past year organically. We also continue to focus on our platform strategy and the ample deployment opportunities we see in front of us. In particular, however we are very excited about the signing of a $500 million MoU for an SMA with an Asian sovereign wealth fund to invest directly in both our Private Equity and Infrastructure funds, as well as co-investment opportunities in both strategies. This new long-term relationship also highlights our premier positioning as a gateway into Latin America for sophisticated global investors. We are very proud that our strong fundraising highlights our enhanced product geographic and investor diversification allowing us to raise capital and perform across different macroeconomic environments. This makes us less dependent upon shifting fundraising cycles in individual asset classes or markets and enhances the resiliency of our business and long-term growth. Relative to the time of the IPO, there is clear evidence that Patria today has materially improved its revenue visibility and predictability, significantly strengthening our business. Overall, we are very excited about our outlook and the progress we have made on our various strategic initiatives in the short time since our IPO. We look forward to providing you with a deeper look into our platform and strategy and updating investors on our new three-year plans at our December 9 Investor Day in New York. Now let me turn the call over to Ana to review the financials.
Ana Russo: Thank you Alex, and good morning everyone. As Alex mentioned, the highlight of the quarter was our robust fundraising led by our new platforms. We believe our diversified fundraising momentum is sustainable, helping us build and strengthen our base of fee earning AUM and management fee growth supporting our confidence in our 2024 and 2025 guidance. Let's review our third quarter results and the building blocks to reaching our FRE guidance for the remainder of the year. Net fee revenue in third quarter reached $75.9 million and $207.6 million year-to-date, up 28% and 19% respectively. The main drivers were the multiple acquisitions we concluded over the past year of which two of the most impactful were the acquisition of the Global Private Market Solutions business from abrdn and the Brazilian REIT business of Credit Suisse. We also generated strong growth in our credit fee earning AUM as a result of solid inflows and investment performance. As Alex mentioned earlier, our robust fundraising was partially offset by our success in returning capital to our investors through realizations and distributions. Private Equity Fund IV also had its planned step down in fee earning AUM in the quarter. We do not expect any additional notable fund step downs in 2025. As we diversify our business and onboard new platforms and investment strategies, our management fee rate continues to evolve. For example, our fee rate in 2023 was about 1.21%, compared to an average fee rate of 0.96% year-to-date and 0.94% in third quarter. In the earnings presentation, you can see that we fine-tune our disclosure of the average management fee by platform to help you understand the development of our effective fee rate, which can move around noticeably quarter to quarter depending on mix. It is important to mention that our fee rate is being driven by the growth in our newer platforms vis-à-vis private equity and infrastructure. As highlighted by our year-to-date fundraising, we believe these platforms have significant growth prospects, and many of our newer strategies are permanent capital and/or earn fees on market values or NAV. This provides the long-term opportunity to compound our fee earning AUM and related management fee revenues with investment performance, as evidenced by the robust investment and returns generated by credit that positively impacted fee earning AUM in the quarter and year-to-date. Moving on operating expenses which includes Personnel and G&A expenses totaled $34.7 million in the quarter, up $11.8 million versus Q3 2023. More than 70% of the quarter-over-quarter increase was driven by acquisitions, with the remainder attributable to increased personnel expenses reflecting salary increases continued investment in our business in addition to the impact of inflation. Also, impacting the year-over-year comparison is the fact that Q3 2023 was the first time our new equity compensation program was accounted for in the P&L. Overall, our year-to-date operating expenses of $90.5 million rose $18 million or 25% with almost 65% of the variance related to our M&A activity and the balance coming from increase of personnel costs investments in infrastructure marketing and distribution and the impact of inflation. Putting it together, Patria delivered, fee related earnings of $40.6 million in the quarter, up 13% versus the prior year and $115.2 million year-to-date, representing an increase of 14%. As we noted in the past, acquisitions generally have an adverse short-term impact on margins as the new business being onboarded generally have lower margins and before we have an opportunity to capture operating efficiencies, which happens overtime. Also, since we continue to invest in our growth, realized operating efficiencies are substantially reinvested back into the business, but we expect margins to improve with the emergence of top line growth. So as a result our FRE margin in the third quarter was 53.4% while our year-to-date margin was 55.5%. As a reminder, we previously guided to a full year FRE margin of 56% to 58% inclusive of fourth quarter, which typically includes incentive fees. In 2025, we continue to expect the FRE margin to trend towards the 58% to 60% range by year-end, driven by a combination of revenue growth and the realization of incremental expense efficiencies. We will update our 2025 and long-term margin guidance at our December nine Investor Day. We believe we are on track to generating $170 million of FRE for 2024, as we expect continued growth in fee earning AUM and fee revenues helped by strong fundraising and improvement in the FRE margin in the fourth quarter. As a reminder, most of our incentive fees are recognized in the fourth quarter and incentive fees tend to be high margin and driven by our Credit Real Estate and Public Equity businesses. For perspective, we generated $6 million of incentive fees in Q4 2022, $4 million in the Q4 2023, and so far in 2024, performance has remained strong. Thanks, in large, part to our previous acquisitions we have a larger number of strategies eligible to generate incentive fees. As a result we think we are currently on track to generate incentive fees in the high-single digit range. Next, our net financial and other income & expenses in Q3 2024 totaled a negative $1.5 million and a negative $5.5 million year-to-date. This line item mainly reflects interest expenses on our credit facilities partially offset by gains generated in our new energy trading platform Tria of $2 million in Q3 and $2.6 million year-to-date. Regarding distributable earnings, we generated $34.9 million in the quarter, up 5% versus the prior year and year-to-date DE of $100 million up more than 5% when we exclude performance fees crystallized last year. The growth in the DE came despite the higher financial expenses noted above. On a per share basis, Q3 DE of $0.23 was essentially flat sequentially and year-over-year due to financial expenses, higher taxes and higher share count. As we will review shortly, we expect the DE per share growth to improve in 2025, as we move past the short-term headwinds. While we have not crystallized any performance fees so far this year, we still expect to generate performance fee over the coming quarters, driven by Infrastructure Fund III. It remains our intention to use realized PRE, to paydown our M&A incurred debt. Our effective tax rate of 10.6% in Q3 2024 was higher than previous quarters, and reflected our business and geography mix in the quarter. Year-to-date, the effective tax rate was 8.8% and we still expect the full year tax rate in 2024 to be between 6% and 8% and trend towards 10% over the next few years. Regarding the shares outstanding, we continue to expect the share count to finish 2024 around 153 million and 2025 between 158 million and 160 million, which includes all shares expected to be issued because of regular stock-based compensation as well as shares to be issued related to the contingent and deferred M&A payments. Our share count guidance does not incorporate any benefit from prospective share repurchases. Shifting to the balance sheet. We finished Q3 with approximately $165 million of debt outstanding, down from $177 million at the end of second quarter. We expect our debt to reach a peak of approximately $190 million at the end of the year as we fund M&A and other year-end payments. The actual level of debt, of course, will depend on the timing of our obligations versus our cash generation in a particular month. Heading into 2025 we expect debt levels to decrease as the year progresses, as we generate cash and fund M&A related deferred and contingent payments, which we expect to total around $100 million of which about 60% we expect to be settled in cash or debt and the balance through the issuance of shares as reflected in our FRE per share targets. We note that, we expect our debt to FRE ratio as we move through 2025 to be below our target of one-time FRE. We would also note that the interest rate on our debt is based on SOFR so reductions in the short-term interest rate has a beneficial impact on our borrowing costs. Finally while we believe FRE and DE are the best financial metrics with which to gauge our results and ongoing earnings power and are the metrics that are most comparable with our alternative manager peers, we would like to comment on some items in our DE to net income reconciliation. You will notice that, transaction costs our M&A related expenses declined to half of what we had last quarter to $6.5 million as M&A activities has moderated. We would expect this trend to continue as we have no current M&A plan for the next couple of quarters. Our equity and long-term compensation was $15 million in 2023 and $13 million year-to-date and consistent with our prior guidance we expect to have 20% increase versus last year as our new program evolve to its second year. Overall, we believe we are on track to meet our FRE targets for 2024 and 2025 and we expect DE per share excluding performance fees to accelerate into 2025 as we continue to grow revenues and FRE, realize some expense synergies over the coming year, all before the factor in the potential benefit from any debt reduction reduced interest expenses and incremental share repurchases. Our robust fundraising momentum makes us even more excited regarding the growth opportunity that lies ahead. We look forward to presenting a more detailed update on our business and expected financial targets at our December nine Investor Day, which we hope you all can attend. I'll now turn back to Alex for closing remarks.
Alex Saigh: Thank you, Ana. So to sum it up there are several key takeaways from the quarter. First, we believe our fundraising highlights the success we are having in leveraging our acquisitions and investments in our platform. We remain very comfortable with our fundraising fee-related earnings and fee-related earnings per share targets for 2024 and into 2025, and expect to see accelerating distributable earnings growth into the next year as the full weight of our fee earning AUM growth flows through and we move past the short-term fee-related earnings and distributable earnings headwinds resulting from M&A costs. We believe we have a long runway to grow fundraising, generate organic growth and grow fee-related earnings and distributable earnings, as it remains early days in executing on the platforms we have added through our M&A strategy, and the investments we have made in new products and distribution resources. Lastly, we are focused on maximizing returns to shareholders and we are excited to provide further color on our updated capital management strategy, we introduced in the second quarter. Overall, we remain very excited about our future growth prospects and look forward to providing a more complete update, at our next Investor Day scheduled for December 9. We thank you for your time, and we are happy to take your questions.
Operator: Thank you. At this time we will conduct a question-and-answer session. [Operator Instructions] The first question comes from the line of Craig Siegenthaler of Bank of America. Craig, please go ahead.
Q – Craig Siegenthaler: Good morning Alexandre. Hope, everyone's doing well. My question is on fundraising. So, with $4.2 billion raised year-to-date, you're now in striking distance of the $5 billion target for the full year. And GPMS is driving more than half the inflows, just in this past quarter. So I wanted your perspective on, how GPMS has altered your organic growth trajectory? And do you expect it to continue generating an outsourced contribution to fundraising, relative to its size going forward?
Alex Saigh: Hi, Craig. How are you? I hope you and family are doing well. And thanks, for your question and thanks for participating, in such an important date, right? We have a US election today. And between US election and Patria's earnings call, I'm glad that you opted for the second. But yes, here we go. I think we're very excited with the first data points that we have on the GPMS, organic fundraising. And it ties to the whole strategy of adding to our platform products, geographically within LatAm and outside of LatAm that are more linked to what investors are willing to buy. And again, we try to sell what we want to sell, but in the end we sell what investors want to buy, right? And so yes, we're having a very good fundraising momentum with GPMS and I think that momentum is going to continue. We are at $4.3 billion as of the end of the third quarter organic fundraising. And I see that momentum pushing us. Of course, now if I do the math, now of course and the fourth quarter of the year is the best for sure, the $5 billion guideline is already in the pocket, right? And so that actually pushes us to a very good entry in 2025 with GPMS, with credit, with real estate, with infrastructure and lastly, with private equity and the private equity as I mentioned, several quarters earnings calls, one after the other over the last eight quarters, unfortunately, we're underperforming US underperforming, private equity overperforming, the other asset classes that I performed and overperforming Middle East, Asia and Latin America. And now with GPMS, we're now in my view overperforming Europe, because most of the money is coming from European investors right for the GPMS product. So now, happy to see our initial experience with the asset class, as you know, secondaries or GPMS solutions primary secondaries are co-invest is the hot product of the moment, as us on the GP side and most GPs they want to actually give liquidity they need actually to send money back and find liquidity for their portfolios. So they do GP led transactions. Also LPs wants to actually revolve their portfolio selling older funds and committing to new funds because new funds are coming to the market. So they also use the secondary market for that kind of liquidity. So everything is working in the direction of this asset class. So, yes, I think we go into -- now we finished 2024 with very strong fundraising numbers for us not for our size. Even the $5 billion target guideline compared to where we started, we started the year with around $26 billion of fee paying AUM. So $5 billion over $26 billion was now already at 20%. And if we outperform the $5 billion, we know we are performing they are also this KPI that I just mentioned. So yes excited Craig. And lastly here the kind of -- we have two fundraising structures through the GPMS, the SMAs and a lot of SMAs that are being renewed. So clients that are vowing to the team and vowing to Patria, because they're renewing their mandates and new money, complete new money, new clients, all in the SMA structure, which is very, very perpetual. And secondly the blind fund structure, which is Secondary Opportunities Fund number five, which we already had the first close. And I think definitely moving the direction to now fundraise what we expected or a little over what we expected. Credit has been doing fantastically as well. And as you saw the numbers there, not only on the fundraising side, but on the performance side the team is doing an incredible job, beating the benchmark in all of the ways that you want to see in last 12 months, last three years, last five years, last 10 years whatever in all of the products from the high-yield LatAm dollar-denominated, local delta products. It's very, very, very impressive. And lastly real estate, very strong fundraising as well and throughout all the real estate investment trust strategies that we have, not only in Brazil but in Colombia, became a major asset class for us. And as you know over 90% of the fee earnings AUM of the real estate asset class is in permanent capital structure listed funds. So, again, I think the strategy is working and I'm glad to see the results. Thank you Craig.
Craig Siegenthaler: Thank you, Alexandre. Very comprehensive. Just for my follow-up also on fundraising specifically on Private Equity VII and Infrastructure V, should we expect final closes for large closes for both in 4Q? And then Alexandre, we heard your commentary on a $500 million SMA within Asian sovereign wealth fund. And I think that will invest directly in Private Equity VII, Infrastructure V. Can you help us with the timing and size of that one? Does that also flow in, in the fourth quarter?
Alex Saigh: Yes. Private Equity VII right now, we still keep the $2 billion mark as for Infrastructure V. And yes it's the SMA that we signed is not in these numbers. These numbers that you see from our slide number, there's a slide that actually shows here, number 16 in the presentation that we uploaded. The numbers that are shown there does not include this SMA that you just mentioned is a $500 million half and half $250 million for each of the funds. Most -- part of that is going to be through the fund structure, the traditional fund structure. And part is going to be through fee-paying co-invest. So because this specific sovereign wealth fund wants to have part of the fund and part wants to actually over -- to get an overexposure to one or two companies of Fund VII or Infrastructure Fund V, but those are fee-paying, not fee-paying and are not included in the numbers. In addition we have other -- these types of SMAs that we are actually going after and now happy to. This Asian sovereign wealth fund is in addition to what we mentioned during the call also a MoU with the Ministry of Infrastructure of the Saudi government. And also they want to invest through the fund and through SMAs. So similar structures. And we see that these very large global institutional clients are looking for that kind of relationship. Now I'll sign a check to your fund because I understand that you need the fund to be sizable blah, blah, blah. But I also want to pick and choose, but I'll pay for pick and choosing is -- but I want to have this pick and choose kind of option. So this is what we call the SMAs. So also for this Middle Eastern sovereign wealth fund which is in addition to the Asian that you mentioned Craig. And lastly, we're still very much in a fundraising mode a very good fundraising mode in other countries of LatAm ex-Brazil. We started a little later now fundraising in Chile, Peru, Colombia and Mexico. And in the Andean countries I think we still expect to see a good amount of fundraising still completed this year and early next year. And we can continue fundraising for Infrastructure Fund V up to mid next year and Private Equity Fund VII the international portion, which is ex-LatAm, but some few accounts that we asked to be exempt from this limitation finish the fundraising end of this year. But for LatAm we can continue fundraising up to mid next year as the fundraising started in different moments. So we still have for repeating here because it's an important information for all of you guys Private Equity Fund VII. We finished fundraising ex-LatAm with an exception of a few names as the sovereign wealth funds that I mentioned, but we can still raise money within LatAm up to mid next year. Infrastructure Fund V for LatAm and ex-LatAm clients up to mid next year. So we still have whatever seven, eight months to go. Hope I answered your question.
Craig Siegenthaler: Thank you, Alexandre.
Operator: One moment for your next question. The next question comes from the line of Beatriz de Abreu of Goldman Sachs. Beatriz, please go ahead.
Beatriz de Abreu: Hi. Good morning, everyone. Thank you for the call and for taking my questions. I have two questions; one on FRE margin. If you could please repeat your expectations for FRE margin for next year. I didn't quite catch that. But I wanted to know if you expect some expansion to happen in FRE margins in 2025 due to synergies that you may be able to capture from the recent acquisition. And also I understand that margins should maybe go up in 4Q as revenues are usually higher because of incentive fees. But should we expect that margin to go back to 53% 54% levels in 1Q next year and perhaps increasing throughout the year? It would be great to get some color on that. And for my second question on the tax rate. You mentioned that you still expect 6% to 8% tax rate this year and that would imply a lower effective tax rate in 4Q. Maybe you could give more color on what would be the reasons behind that expectation. And if we should expect the effective tax rate to increase towards the 10% already in the next year? Thank you.
Alex Saigh: Okay. Thank you, Beatriz. Thank you also for participating in our call. This is Alex here. I'll take your first question and Ana will take your second question on tax. So as far as margins are concerned, of course, you saw the margins for this quarter a little lower than previous quarters because we did absorb 100% of the abrdn GPMS business and the real estate not only VBI, but the Credit Suisse. These three businesses the Credit Suisse Real Estate Investment Trust, the VBI Real Estate Investment Trust and the GPMS the carve-out from abrdn, the three businesses they had lower margins than we did operate. And I mentioned during the announcement of these three deals that GPMS abrdn carve-out was running a 30% FRE margin as the real estate businesses, right? And we do run an upper 50s FRE margin, right? So we did absorb these businesses in the third quarter in a full quarter remembering that in the second quarter it was just partially absorbed because these businesses came in late in the second quarter. So the whole -- these whole three businesses was fully absorbed during the third quarter, and of course, the margins come down. I see margins going up to the high upper 50s in 2025 as we move to integrate the businesses. And I can show you what we have done in the past. I think when we did absorb the Moneda business, the Chilean asset management business that we acquired late 2021, at that time, we announced that Moneda was running a 40% FRE margin business. During 2022, you saw margins coming down also to the mid-50s, lower 50s range. And then we pushed margins up again to 60% FRE by the end of 2022. And then comes 2023, we did other acquisitions there. And I think and it comes 2024 the same effect. So, we know how to do this. I'm confident that we're going to push the margins up again back to the upper 50s. As far as the first quarter of 2025, I'm not sure where we're going to land in margins. So, I would say a mid-50s number, I think 53% is kind of the low end but a mid-50s number. We should reach the upper 50s as a year as a complete year full year 2025, not in the first quarter, first quarter more mid-50s. And then I'll turn to Ana for your second question.
Ana Russo: Hi Beatriz. Good morning. As mentioned this quarter, our tax -- effective tax rate reached 10.6% and the year-to-date 8.8%. This is all caused by the different mix of jurisdictions that we have our income. And basically the signal of our diversification that we have and the onboarding of the new companies and new M&As. And what we basically are envisioned by throughout the end of the year that this tax should be between the rate could be between 6% to 8%. And this is also again basically the result of the income we have in each jurisdiction. And also the different expenses that hit our fourth -- normally hits our fourth quarter income and expenses in that particular quarter. So, this is what we believe. And as I also mentioned during the IPO that our evolution and diversification would bring tax through closer to a 10% throughout the year. That's what we are look into at a 2025 tax rate.
Alex Saigh: Yes. And just getting back to the margin question again just to use some examples here. Just again I think you alluded to this Beatriz during your question, but in the fourth quarter, we do have higher margins because of the incentive fees. And using 2023 as an example the fourth quarter of 2023, we had 70% -- 71% FRE margins compared to the third quarter of 2023 that was in the 60s. So, we actually increased by 10 percentage points the FRE margin in the fourth quarter. That trend should also happen here in this year of 2024. As we move into the year and as you look into the $170 million of FRE and we are at $115 million, how can we bridge this remainder $55 million? If we do a similar quarter of $40 million, $41 million of FRE, we're up to $155 million. Then we have around $10 million of incentive fees around 10-ish that's already $165 million. Then we have to bridge $5 million for the $170 million. So, if we repeat the third quarter and as I said we integrated all these businesses in the third quarter and we already started integrating them, so we're moving up the margin ladder in the fourth quarter. I need $5 million gap between the fourth quarter and the third quarter pretty feasible. That's why we are confirming our $170 million FRE for 2024. And that trend should also happen in the 2025 and going forward. I hope we answered your questions Beatriz.
Beatriz de Abreu: Perfect. No that was very clear. Thank you, Alex.
Operator: The next question comes from the line of Ricardo Buchpiguel. Ricardo please go ahead.
Ricardo Buchpiguel: Hi, everyone, and thank you for the opportunity of making questions. I have just one from my side. Can you please comment if the environment assets in the infrastructure fund hit the hurdle rate given the deterioration in the market conditions is always in any way affect or this particular segment very much impacted by the environment we see in Brazil with higher rates and effects? Thank you.
Alex Saigh: Thanks, Ricardo. Thanks for participating in our call. Yeah, I think there are several things going on in Brazil and some of them there are not a lot of good news coming from the volatility caused by our President not willing to come out straight with his vision on the fiscal imbalances, right, and all the effects that, that causes to the economy, as you just mentioned. But the infrastructure side has been going through a mini boom, if I would say, right? The last auctions that came out, be it federal and state auctions, there were all huge successes in several different sectors, several different states and including the federal union. I mentioned some examples, water and sewage, two or three auctions of Northeastern states that we're not the largest and the most appealing states in Brazil and the auctions all went well, and we bid for one, we lost, but -- so competitive bids with three, four, five bidders for the water and sewage businesses. And then we go to toll roads. As you know, we bid and we lost for the last toll road a couple of weeks ago, but also strategic players and financial sponsors. So everybody is very disciplined, as you saw also in the numbers that were -- the winning numbers also more toll roads to come. We have schools in the state of Sao Paulo, two auctions for the construction of schools. I'm naming three sectors here, and I can name others. So again, I think the infrastructure is going through a because of the characteristics of infrastructure that, in general, you have a long-term contract and these are the ones that we look for to add to our funds. And these long-term contracts are adjusted to inflation and you have financing. And I think in the infrastructure, I think we -- for our business here, Ricardo, we sum the best of all that we can have here. Number one, we have foreign interest to invest in infrastructure in Brazil. When we are bidding for these toll roads, we have co-investments together with us from global financial institutions, global sovereign funds together with us. So we have foreign interest, and I emphasize that because they are very, very big checks will need to invest in infrastructure in the region, mainly in Brazil from foreign financial players. Number two, for Patria, we have a new fund, brand-new fund. So we have a lot of money, a lot of equity, a $2 billion fund, which is the target, puts us in an $8 billion bidding context because we do, as you know, leverage $780 to 2030 of equity for -- in each of these deals. Number three, we have the team, an amazing experience and so many things going on here that is just our divestments, very successful selling to strategic players, global strategic players. And we also have demand from local investors, right, in the takeouts, some of the funds we listed, some of the funds we actually also have local players, as you saw in the auctions, local strategic players bidding for toll roads and et cetera, local players for water and sewage, et cetera. So it's a combination of all of these things causes us to be very -- in a very exciting market. And we are kind of alone there. As a financial sponsor, we have one large one together with us, Brookfield, which is a global player that has a very strong presence in Brazil. But we don't see all the other big infrastructure funds play in Brazil and the global infrastructure funds. So no, we're very well positioned. We're here because we have been constructing our track record for the last 20-something years that started there with the team Otavio and then the team Andre Felipe and Roberto Marcelo and the team and all my partners there. So going through a very, very interesting phase on the fundraising side not only for the fund but co-investors, so we can actually bid for larger projects. On the management side, the value creation side, creating a lot of value there that translates to the divestments. All of the performance fees over the last several quarters were came in from the infrastructure funds. And lastly here, our experience in the sector that actually makes us stand out. So exciting moments for infrastructure in Brazil at least and I think it will continue. And it has to do I think with all the factors that I just mentioned. So I hope I answered your question.
Ricardo Buchpiguel: Very clear. Thank you. And just a follow-up on one thing you mentioned. You said that incentive fees could be in the 10-ish level. Is that correct? We just wanted to confirm if that makes sense for Q4?
Alex Saigh: Yes. Incentive fees in the fourth quarter around $10-ish million, right.
Ricardo Buchpiguel: Thank you. Thank you very much.
Operator: One moment for our next question. The next question comes from the line of Guilherme Grespan of JPMorgan. Guilherme, please go ahead.
Guilherme Grespan: Good morning, Alex, Ana and team. Thank you for the call and opening for questions. Just two on my side. The first one is actually pretty quick. I think Ana mentioned among the incentive fees that part of it comes from real estate. I just want to confirm, which products inside real estate generated performance fees just to be sure, we have it here. I think the ballpark – the bulk of it is going to come from private credit, right? But just to confirm the real estate products which one generates performance? And the second one it's more on the product strategy Alex. You talked a lot about infrastructure and GPMS but I wanted to get your view on private credit. You touched a little bit during the call but has been a booming I think industry in Brazil and globally. I think most of your strategy today it's still Chilean legacy, right, Moneda business. I just want to get your thoughts, if you feel that there is an opportunity in Brazil or in the rest of LatAm to develop the business I think was part of the deal as well. But just want to get the kind of milestones on what you're thinking about this strategy in Brazil and the business outside Chile? Thank you.
Alex Saigh: Great. I'll ask Ana to answer the first question and then I'll ask – answer your second question on the credit business. Please, Ana.
Ana Russo: Hi, Guilherme. Yes, you're right. What I said is incentive fee comes mostly from the strategy of credit, public equities and real estate. However, most of our incentive fees are generated by the credit is if I look into the size, it's really like 95%, 97% is the credit and there is just a small proportion coming from Real Estate. We are actually coming from some of the funds that we acquired from Credit Suisse.
Alex Saigh: Yes. And going to your second question, I think not only credit but also real estate, but are doing extremely well this year. Let me turn to credit and then I'll touch on the real estate side for a second, as I finish my answer. On the credit side again, I couldn't be happier. We do post the returns of the funds and you can see in our presentation here. As I mentioned in any shape or form that you see, it we're beating the benchmarks. And on the private credit side William, we have a 15% of our public equity funds are private credit transactions. It's a pockets that we have and given our size. So for the $6.5 billion that we currently manage, we have around $750 million that is pure private credit, right? And then the main strategy is $6.5 billion minus $750 million. So you have the number of $5,750 million, right? Out of the $5,750 million, 15% of that which is now close to $800 million is private credit, right, which is the pocket of private credit within the public equity fund. So if you look at how much we do manage in private credit, it's a substantial number and probably making us one of the largest private credit alternative asset managers in the region. Because of the sum that I just did, we're managing over $1.5 billion of private credit. Pure private credit around $750 million, there I have infrastructure private credit. I have the Fiji's that you know in Brazil Fiagro and all of these other products that are in the Fiji's format. And then I have a LatAm dollar denominated private credit funds and I have the 15% pocket out of the $5.5 billion public credit strategy. And that part of the market is doing extremely well with all kinds of different transactions. It is a moment that companies are kind of stressed, because of the high interest rates mainly in Brazil. So we're managing to do very interesting transactions there and getting extremely good returns for our private credit which is actually helping push. The overall return of our public credit funds and of course very good returns on our pure 100% private credit funds that I mentioned to you. And as I look into the near future, mainly in Brazil, because, the yield curve show us that now interest rates in Brazil will continue to be higher than I expected whatever 12 months ago in 2025. So these opportunities will continue, as companies need to refinance themselves et cetera. We are providing that private credit solution for them. In other parts of Latin America, this is also the case, but yield curves are now showing a negative tendency which is good, mainly in Chile and Colombia less so, in Mexico. But as you know Brazil is not there yet. No inflation actually is picking up in Brazil, slightly picking up, but it's picking up. So this is on the credit side. And we want to raise more private credit instruments and funds and I think we are launching other products, as we speak. It's an area of the market $1.5 billion multiply by five multiply by six. It's pretty sizable for the Brazilian market. But it comes and even with the Chilean legacy that you mentioned around 40% to 50% of the assets under the Chilean fund are Brazilian -- secured Brazilian issued securities not -- securities issued by Brazilian companies. So it is a fund managed by our Chilean partners, but half of the fund is composed of securities issued by non-Brazilian firms, because it's natural given the size of Brazil in the whole of Latin America. Then of course Mexico coming second and then Chile and then Colombia et cetera. On the real estate side, we know if you look what happened over the last 24 months, we doubled AUM. When we joined forces with VBI, VBI was managing BRL5 billion, that's mid-2022. Mid-2024, VBI was managing BRL10 billion, so from BRL5 billion to BRL10 billion, in addition to the Credit Suisse acquisition of around BRL12 billion. So making us today, plus everything that we already had the largest Independent Manager, top three considering the real estate managers linked to commercial financial institutions. So again, extremely excited, but on what did we see there in the first half of 2024, we raised a lot what we call the brick and mortar kind of funds, funds that invest in the asset -- the real estate asset itself, buildings, construction, logistics, residential, blah blah blah. In the second half of 2024 our focus and what the market is asking also is for the Credit Related Real Estate Funds the CREF now the CRIs. And we've been very successful in raising those funds. So we have a very large market share in most of these segments of the real estate investment trust market in Brazil 30%, 40% market share of the logistics segments of the corporate segment, of the retail segment, and still close to 12%, 15% share of the credit segments. And there we're now making inlays in raising a lot of money in the second half, because as interest rates yield curve in Brazil turns the worst in the second half. Our investors now are more inclined to invest in these kinds of funds and securities than brick-and-mortar. So, first half of 2024 more brick-and-mortar, second half of 2024 more credit related. And again, the beauty of having a diversified platform of not only credit funds, but real estate funds and GPMS and private equity, and venture, and growth, and infrastructure core, infrastructure core plus, infrastructure development. So there we have 38 strategies over 100 products exposed to the five main countries in LatAm besides Argentina. It gives us this -- and Europe gives us this ability to fundraise in different parts of the world, fundraise for all these different 38 strategies and not only, but deliver but beat the guidance that we have for $5 billion organic fundraising FRE, et cetera. I have more tools in my hand more levers, operational levers to be able to hit the guidance, deliver the guidance with all of these different products and countries that we fundraise today. Hope I answered your question Guilherme.
Guilherme Grespan : That's clear, Alex. Thank you.
Operator: One moment for your last question. The next question comes from the line of William Barranjard of Itau BBA. William, please go ahead.
William Barranjard: Thank you, Alex. And thanks for the time. So my question here is also on the topic of product expansion, but here more broadly. So I would like to understand if you still think there is any product or region that is not already included in your portfolio, but you would like to expand there in a medium term? So like I understand you're already in the process of digesting recent acquisitions, but if there's any upside for the next year maybe two years to go to another region other products, and complementing it if in order to expand on those fronts if you see it necessarily through M&As or inorganic movements or if you believe organic movements would suffice here?
Alex Saigh : No, thank you -- thanks for the question here, William. I think, we definitely continue to see the strategy that we actually set up prior to the IPO that we delivered during the IPO roadshow, which is product expansion, geographic expansion within LatAm. And for some strategies like the PMS, it has to be outside of LatAm. The PMS market within LatAm is very narrow on the product side. It's more on the fundraising side. It's good for local investors investing in global products. So starting with that strategy, we continue there. We are in year number three for my view that it's a 10-year strategy for me to see the complete menu of geographies and products that I like to attain almost 30% 40% of the way. You will listen from us in this December 19, New York, and hopefully, you can participate or someone from your team the next three year performance and guidance. And you will see that we will expand the number of strategies to this 38. At the time of the IPO, we have seven strategies. Today we have 38, and we continue to expand strategies. Specifically where? I think there's a lot to do within LatAm mainly in Colombia. In Brazil and in Chile, we have complementary products frontier products. Now that will come through organic launching of products. As I mentioned, we launched some Fiji's some Fiagros in Chile. We launched some local products there but they are complementing other many of products. In Colombia after we signed the JV with Bancolombia late last year in October we are launching several products there. We're launching a local credit fund in Colombia. We're launching a private active fund in Colombia. We're launching an infrastructure fund in Colombia. We're launching a real estate bad debt credit fund in Colombia. And using the Colombian Bancolombia channel, all in the Colombian pesos to Colombian. So as you know, some most of the institutional clients in Colombia, they have restrictions to invest outside of Colombia. So they have to invest in Colombia, like the Brazilian institutional investors, because they're in pension funds. In addition these investors they want Colombian business exposure. So the assets and liabilities are exposed to the same currency. And this is a huge competitive advantage of ours. We are global sized today now managing $44 billion, but we are very local in nature of implementation. So we have products that are designed to the local market to the local investors in reais, Brazilian reais, in Chilean pesos, now in Colombian pesos. And that's exactly what our clients are looking for. The global alternative asset manager the Blackstone's and Carlyle's they're not going to launch local products in the countries that I had just mentioned in local currencies. It's not their business it's not their interest. And the local guys are too small compared to us. They don't have our scale, our distribution, our fees to be able to invest in marketing and distribution and go to market strategies. So I think, we're very well positioned. And association with Bancolombia has started with a very, very good right foot with our real estate investment trust and now all these other products that we are launching. And we are using the Bancolombia network to launch products in Panama to launch products in Guatemala in Costa Rica which Bancolombia has sizable operations in these other countries. So becoming a true local player also in Central America through this partnership, joint venture with Bancolombia, which is the main bank not only in Colombia but in the countries that I mentioned to you. We're not in Mexico. I think, Mexico though it's something that we have to analyze with a lot of care. It's the second largest economy in the region. I see real estate in Mexico still is a good play. You have the listed real estate investment trust in Mexico the FIBRAs like our fees in Brazil. There are no sizable market. Actually the Mexican FIBRA market is a little bigger than the Brazil Real Estate Investment Trust market. And the real estate in Mexico, because of the whole near shoring, friendly shoring, whatever is in the Northeast of Mexico is really booming. But we have to look with care I think what's going to happen today with the US Presidential elections. And also, we wanted to wait a couple of months after the new President Claudia took over Mexico to see her direction the political direction in some of the aspects that might affect the real estate industry. Until now actually specifically for the real estate industry nothing is really dampering that moment that momentum that, I just mentioned. I think we have two strategies here William that actually can expand outside of LatAm. One is GPMS. We're already in Europe. Our European operations is two-thirds, Europe one-third U.S. If you look geographically it should be the opposite right? It should be two-thirds U.S. and one-third Europe. So we're looking to ways to expand in the US. And it could be through an acquisition or through acquisitions. And also, our infrastructure business, I think is as I mentioned we're top notch. I think we can actually expand to other countries outside of Latin America. We have the experience of doing development infrastructure and I think we should expand it. That could come also through acquisitions. So we're not going to do any acquisitions over the next four quarters, okay? And why is this hiatus? This hiatus is for us to integrate the businesses, for us to show exactly our capability of buying things and then integrating and pushing margins up to close to 60%. And I have to gain that credibility with you and other PAX investors. So we have one successful case which was the Moneda which I just explained. Now, we have this business that we acquired this year. Hopefully, even the answer that I gave to Beatriz, we're going to see margins heading up in 2025 to the high 50s. So, I'm going to gain credibility hopefully gain credibility that we can do this, we can buy things, we can integrate. We don't put any stress to our balance sheet. We have lower than one times FRE LTM of debt, net debt to LTM FRE, so it's pretty low. So I think, yes, but growing into locally in Colombia organically through the Bancolombia JV, looking into Mexico with a lot of care, real estate will be the first one. And then heading out to now GPMS Europe, GPMS LatAm, so it is. But this is all in time. For 2025, specifically, it's all organic, okay? We don't even have an MoU signed, okay? So between an MoU and signing something you need four quarters. And we're going to have, we want to use 2025 again to show everything that I said here. We need to have some water going down the river here. We're integrating the businesses. We're raising margins. You guys have comfortable with our competence of doing things and then we take another step late '25, '26 obviously, okay? I hope I answered your question.
William Barranjard: Yes, you did. Thank you, very clear.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back over to the CEO and Founder. Please go ahead.
Alex Saigh: All right. Thank you very much for a very thorough earnings call. I really appreciate your questions and the more interactive and the better. Thank you. Thanks again. I know that it's a busy day for all of us here with US Elections. Reiterating then our guidance of $170 million of FRE for this year, $5 billion of organic fundraising. Next year, $225 million of FRE for next year. We're going to have our PAX Day nine of the December and we are preparing great content for you and team. So I hope that you guys can participate. It's going to be in New York in the NASDAQ venue, the NASDAQ building, the same place that actually did our last one late 2022 whoever participated. And hopefully, we're going to see each other in person in a month's time. Today it's the 5th November. So thank you very much again. All the best and see you soon. Thank you very much. Bye-bye.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.